Operator: Good afternoon and welcome. My name is Jackie and I will be your conference operator today. At this time, I would like to welcome everyone to the Q2 Holdings Third Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Bob Gujavarty, you may begin your conference.
Bob Gujavarty: Welcome to Q2 Holdings' earnings call for the third quarter ended September 30, 2015. I'm Bob Gujavarty, Vice President of Investor Relations and with me today on the call are Matt Flake, our President and CEO, Jennifer Harris, our CFO. As a reminder, today's conference call is being broadcast live via webcast. In addition, a replay of the call will be available on our website following the call. By now, you should have received a copy of our press release that was distributed this afternoon. If you have not, it is available on the Investor Relations section of our website. Please remember that certain statements made during this call, including those concerning, our business and financial outlook for the fourth quarter and full-year 2015; transformation in the banking industry from main branch to digital and resulting demand for our solutions, benefits of our sales force investment, our continued momentum across Tiers with customers, including Tier 1 customers, our growth opportunities and expectations; our long-term financial targets and ability to achieve them; our ability to timely implement customers, large and small; anticipated spending to address our growth; anticipated benefits and financial impacts of our Centrix acquisition; anticipated expansion and market penetration, anticipated improvement in financial measures; and the competitive advantages of and market acceptance of our single-platform solution are forward-looking statements. These statements are subject to a number of risks, uncertainties and assumptions described in our SEC filings, including our annual report on Form 10-K for the year ended December 31, 2014, filed with the SEC on February 12, 2015 and our quarterly report on Form 10-Q for the third quarter ended September 30, 2015, which we anticipate filing with the SEC on or before August 10, 2015. Should any of the risks or uncertainties materialize or should any of our assumptions prove to be incorrect, our actual results could differ materially and adversely from those anticipated in these forward-looking statements. These statements are also based on currently available information and we undertake no duty to update this information except as required by law. Cautionary statements regarding these forward-looking statements are further described in today's press release. During this call, we will be referring to both GAAP and non-GAAP financial measures. We believe that non-GAAP measures are more representative of how we internally measure the business. They are reconciled to GAAP in the tables attached to our press release available on our Investor Relations website. The non-revenue financial measures we will discuss today are non-GAAP unless we state the measure as a GAAP number. Any non-GAAP outlook we provide as not being reconciled to the comparable GAAP outlook, because, among other things, we cannot reliably estimate our future stock-based compensation expense which is dependent on our future stock price. Before turning over the call I’d like to highlight our participation in several investor events in November. We will attend the Stifel one-on-one Conference in Chicago. UBS, CMC Conference in San Francisco and the Needham SAS one-on-one Conference is San Francisco. With that I’ll turn the call over to Matt Flake.
Matt Flake: Thanks Bob. Good afternoon and thank you for joining us on today’s call. I would like to start by sharing a few of our financial highlights from the quarter before discussing a few industry and business updates. I’ll then hand the call over to our CFO, Jennifer Harris, to discuss the financials and provide guidance for the fourth quarter and full year. In the third quarter, we generated $28 million in revenue exceeding the high end of our guidance of $27.8 million, representing a 33% year-over-year growth. In addition to strong revenue performance we also added more than 300,000 end user up 6% sequentially and 46% year-over-year. It was another great quarter for Q2 and I am excited about the momentum we have in the market place. We believe we're still in the early innings of a radical transformation of the banking industry from a legacy model, which emphasize the physical in-branch channel to model with increasing emphasis on self service and digital. Financial institutions of all sizes are aggressively investing to prepare for the digital feature. In Citi Bank's third quarter earnings call, CEO, Mike Corbat noted that in preparation for what they call a mobile first future they've closed or sold over 200 branches. They plan to exit 50 more before the end of the first quarter. This isn’t just limited to Citi. Bank of America also reported the closing of more than 200 branches over the same span. As these banks continue to reduce their physical presence they are investing and promoting the digital channel and as a result they've seen rapid growth in the use of digital channel. Even as Bank of America closed over 200 branches they added nearly 800,000 mobile banking users. JPMorgan Chase, the largest bank in the United States has grown their mobile banking users by double digits over the last year. We're seeing similar trends among our customers. As account holders continue to choose the digital channel to interact with their financial institution. One of our credit union customers in the North West is illustrative of the trends we are seeing in the market. In 2015 alone they have grown their digital user base by more than 20% and more than a quarter of their digital logins are coming through their mobile banking apps. Today, future plays an important role in driving the digital transformation of over 360 customers. I believe our single platform with its modern design, intuitive user experience and deep integration layer will continue to be a solution of choice for regional and community financial institutions looking to transform their business. In the context of these industry trends, I’d like to get into some of our highlights from the quarter. We continue to add new customers from across our target markets including the three Tier-1 financial institutions, a $15 million bank in the Western United States and a leading regional bank and a top-25 credit union both in the North East. All three of these wins were takeaways from traditional competitors. With Q2 single platform differentiating itself as a premier solution to meet the digital needs of large financial institution. With five Tier-1s added year-to-date our momentum in this market is exceeding our expectations from earlier in the year and we believe the size and reputation of these Tier-1 customers are illustrative of the Tier-1 financial institution we can attract to our platform. I am particularly proud of these wins in the Northeast because they represent our first Tier-1 wins in this geographic area since investing in the sales force in 2013 and early 2014. We've made a concerted effort to improve our sales coverage in that region both bank and credit union market. As these two wins demonstrate, I believe that effort is starting to pay off and as both of these institutions are regional influences, I hope these signs create a network effect in the region. I always like to point to our almost 20% market share among all banks in Texas, where Q2 we started and where we have deep relationships. With our prior investments in the sales organization our goal is to duplicate that success in other regions and I view these wins in the Northeast as the first steps to reaching similar success in that geography. I am encouraged by our continued success on the net new side and in addition, we’ve a dedicated relationship management group which focuses to cross sale and extend contracts with existing customers, another key part of our growth strategy. I would like to tell you about a customer in the Midwest that recently signed a renewal with us. This bank founded over a 100 years ago has been a Q2 customer for over five years. Over that span, the bank has added retail, commercial and noble products, helping them grow their digital presence and increasing Q2s monthly recurring revenue by nearly 100%. Another example I would like to share is a bank here in Texas that has been a Q2 customer since 2012. With 24 months left on their original agreement this bank shares to proactively renew with Q2 in the third quarter. This is an especially good renewal story, because the bank has been extremely successful on driving its account holder to the digital channel growing it's user base by nearly 30% this year alone. I believe these examples clearly demonstrate that our platform is playing a key role in the digital transformation for banks and credit unions, large and small. Customers are increasingly looking to Q2 and that’s why I remain confident they will continue to maintain 30% plus revenue growth into the foreseeable future. Finally last quarter we announced the acquisition of Centrix Solutions, which provides fraud management, risk mitigation and compliance products to financial institutions. Prior to acquisition Q2 is partnered with Centrix since 2007. As part of this partnership Q2 resold the Centrix products as they are complementary to our longstanding relationship has made this a natural fit for both companies and it’s my belief that both Q2 and Centrix are realizing the benefits of bringing Centrix under the Q2 umbrella. For Q2, the Centrix products represent an exciting cross-sell opportunity as they are completely platform independent, meaning they do not require the insulation of our platform but are only enhanced by its presence. We also view Centrix as a tremendous opportunity for us to approach the risk and fraud markets, which are Greenfield opportunities for Q2. For Centrix we’ve seen the Centrix sales pipeline grow since the acquisition. As a result of that momentum, we signed a Tier 1 Centrix customer and new customer of Centrix and Q2 and one of the largest Centrix customer today. We’re extremely pleased with the integration opportunity to this point and are committed to expanding the link in Nebraska office. We remain optimistic about Centrix's ability to help us expand our total adjustable market, improve growth margin and contribute to our revenue growth. With that, I'll hand the call over to Jennifer.
Jennifer Harris: Thanks Matt, let me start by reviewing our results for the third quarter and finish by providing updated guidance for the fourth quarter and full year 2015, as well as some comments around the impact of our momentum in the Tier 1 market. We’re pleased to have delivered third quarter revenue of $28 million exceeding the high end of our guidance and representing year over year increase of 33% and a sequential increase of 7%. Both the sequential and year-over-year increases were driven by our strong growth in subscription revenue with the sequential growth seeing a modest contribution from Centrix which contributed less than 2% of total revenue in the quarter. Third quarter subscription growth was partially offset by a decrease in services revenue. As a reminder services revenue in the prior quarter included a normal kind services engagement related to a core processing conversion at one of our large customers. Subscription revenue continued to benefit from user growth as we added more than 300,000 registered users during the quarter. Transactional revenue continue to increase in absolute dollars while declining to 19% of total revenue down from 20% of total revenue in the prior quarter and down from 22% of total revenue in the year ago period. As we turn to gross margin and operating expenses, please note that unless otherwise stated, all references to our expenses and operating results are on a non-GAAP basis. Gross margin was 47.7% up from 47.1% in the second quarter and up from 42.9% in the year ago period. The year-over-year improvement was attributable to a combination of accretive impact of our Centrix acquisition for August and September and the growth in subscription revenue. On a sequential basis the positive impact from our Centrix acquisition and the increased subscription revenue was partially offset by a decline in services margin related to the non-recurring one-time services revenue I referenced earlier. Turning to operating expenses, we added 25 employees from the Centrix acquisition on July 31 and we continued to invest in research and development and implementation. Total operating expenses were $17 million in the third quarter up 37% from one year ago and up 8% from the previous quarter. Sales and marketing expenses were $6.3 million up 15% year-over-year, but down 6% sequentially. The year-over-year increase was primarily due to investments in headcount and marketing programs while the sequential decline was primarily the result of well our marketing program spend partially offset by increased investments in headcount. As a reminder our annual customer conference took place during the second quarter driving the majority of the sequential decrease. Research and development spending was $5.7 million up 88% year-over-year and up 24% from the previous quarter. The increased R&D spending both year-over-year and sequentially largely reflects increased headcount to support an expanded product roadmap which now includes Centrix related product. As we mentioned last quarter on a year-over-year basis we saw shift of resources from customer support and implementation activities to forward software development. Thereby reducing the allocation of development resources classified as cost of sales and increasing the research and development operating expenses, I would note that on a sequential basis this allocation of resources has remained relatively consistent. General and administrative expenses were $5 million, up 28% from a year ago and up approximately 12% from the previous quarter. Both the year-over-year and sequential increases were largely a result of higher headcount related spending and cost associated with operating as a public company. Adjusted EBITDA was negative $2.2 million an improvement from negative $2.3 million in the year ago period, but down slightly from negative $2 million in the previous quarter. The sequential decline was driven primarily by the higher operating expenses including the addition of Centrix’s personnel and a decline in non-recurring onetime services revenue which partially offset the higher subscription revenue and gross margin. We ended the quarter with cash, cash equivalents and investments of $119.9 million up from $118.5 million at the end of the second quarter. The company generated approximately $50,000 in cash flow from operations during the third quarter and just over $20 million from our equity offering in September, partially offset by the acquisition of Centrix. The positive operating cash flow was driven by the collection of customer deposits in advance of implementation and other services being performed, which resulted in deferred revenue of $49.9 million at September 30, up from $43.4 million at June 30. Let me wrap up by sharing our fourth quarter and full year 2015 guidance. We forecast fourth quarter revenue in the range of $29.6 million to $30 million and we are raising full year revenue to a range of $108.1 million to $108.5 million representing 37% year-over-year growth for the full year. Before tax fourth quarter adjusted EBITDA of negative $1.8 million to negative $2.2 million and negative $8 million to negative $8.4 million for the full year 2015. We expect continued investments in research and development and implementations personnel to support our new and existing Tier 1 customers and select hiring across our sales organization largely offset by higher revenue and gross margin in the fourth quarter. In summary, the third quarter was another quarter of solid execution. We continued to deliver strong topline growth achieved record gross margin of 47.7% and made continued investments to support our future growth. I would also point out that we delivered a second consecutive quarter of positive cash flow from operations as we collected deposits for implementation services from several Tier 1 customers. I continued to expect the pace of gross margin improvement to moderate in the near term as we accelerate investment in implementation capacity to support our Tier 1 customers however even contemplating the incremental investments we remain on track to deliver steady annual improvement in gross margin in 2016. Now let me turn it back over to Matt for his closing comments.
Matt Flake: Thanks Jennifer. In conclusion, the quarter was characterized by some significant accomplishments. We signed new customers across all tiers including three tier 1s executed the first acquisition in company history completed a follow on offering and deliver both record revenue and gross margins. Given our momentum in the marketplace I’m confident we are on track to continue meeting our commitments to customers, employees and shareholders and I look forward to a strong finish to a great year for Q2. With that let me turn it over to Operator for questions.
Operator: [Operator Instructions] Your first question comes from the line Matt Hedberg with RBC Capital Markets. Your line is open.
Dan Bergstrom: Hi, guys its Dan Bergstrom for Matt Hedberg. Thanks for taking my questions. Say three Tier 1s this quarter two last quarter. I know you are investing to support further implementations and R&D efforts you talked about that on the call, but Matt is there too much of a good thing, do you feel comfortable having the capacity you need for these implementations?
Matt Flake: Yeah, hey Dan. I think that we've been very deliberate in how we have built the business around trying to acquire these customers and making sure we have the appropriate infrastructure. Jennifer works closely with the implementations groups as well as the development group to make sure that we have appropriate capacity and demand planning. So we feel really good about the 10 that we’ve added in the last 24 months or 18 months. And I think we manage the pipeline accordingly. We look closely at what’s coming down the pipeline. We do get more visibility into Tier 1s because they move a little slower. So I would say no it's not too much of a good thing and we anticipate more of them to come. So thanks.
Dan Bergstrom: Great and then of the success of Tier 1 is that driving demand in Tier 2 and Tier 3?
Matt Flake: Yeah, like I said before the Tier 2 and Tier 3 sales reps are as excited about the Tier 1 wins as anybody. So the network effect is there. You saw a little bit of it in the Northeast where we won some Tier 1, but that flows all the way through and I’ll say like I’d said in the past there is just continued momentum around the pipeline.
Dan Bergstrom: Great. Thanks.
Matt Flake: Great Dan. Appreciate it.
Operator: Your next question comes from the line of Sterling Auty with JPMorgan. Your line is open.
Meena Gandhi: Hi, this is Meena Gandhi in for Sterling. Thanks for taking my questions. In terms of the Tier 1s wins you’ve gotten in the last year or so, can you update us on which ones are live now and when are the other scheduled to go live.
Matt Flake: Yeah, so we’ve signed five in 2014, three of those are live we announced American Airlines, International make commerce and trust mark, two of those are works in progress. Keep in mind we talked about the timing of those, how those they make at the end of the year. They’re progressing I would anticipate them happening in the first half of '16 and then we signed five deals this year obviously First Republic which we announced which is still a working progress. And then four more, which we haven’t released the names. But those will most likely hit in the second half of '16 with the exception of First Republic that’s one that we’re holding out there to continue to monitor and we’re working on it hard.
Meena Gandhi: Okay. And to follow-up on that of the Tier 1 banks that are live, have we seen the full expense of the registered users from them or do we still expect to get further growth in the coming quarter as they market solution to their customers.
Matt Flake: Yeah, I think that one of the themes of our story is that digit transformation and the banks and credit units marketing this technology and while Bank of America and Wells may be at 90% adoption within their account holders, the majority of the one I had mentioned not any in particular, but in the industry, in the Tier-1 and Tier-2 are about 50% of the account holders. So we see organic growth every year or is it off just new year is coming on line so we will definitely see more users come on every quarter.
Meena Gandhi: Great, thank you.
Matt Flake: Thank you. Appreciate it.
Operator: Your next question comes from the line of [Michael] with Munchen & Co. Your line is open.
Unidentified Analyst: Thanks very much and good afternoon. Just quick follow-up to the last question. So when you look at the average kind of organic growth within your installed base what are you seeing there? Are you seeing any acceleration there or is that rate of growth relatively consistent with what you've seen historically.
Jennifer Harris: Keep in mind a lot of these just came on this year. So we're just starting to have data on their growth, but the data that we've seen to date in 2015, is very comparable to what we've seen historically. So I would still say we're very confident that the organic user growth is in that high single digit to low double digit.
Unidentified Analyst: Okay, got you. And then in your prepared remarks you talked about how the two winds in the Northeast could have a trickledown effect. I was wondering if you could remind us again how many customers do you have today in that region.
Matt Flake: We don’t break down the customer count by region. We have 360 customers so obviously we are less than just under 13,000 financial institutions in the market place. So we are underpenetrated around the country, so less than 3% that’s why we've invested in the sales force in '13 and '14. Michael I just think as you start to sign these larger deals, you'll begin to see more in the geographic area. So we have more than we could say grace over to go get right now and sales team is doing a great job of getting out there and telling the story and the lines are starting to form.
Unidentified Analyst: Great. Okay. And then a last question from me here. As you kind of reflect upon kind what you saw in the sales cycles for these Tier-1 win were they any different than kind of what you've saw -- what you saw last year and I am just wondering whether or not there is any meaningful difference between today versus last year given some of the success that you have had. Thank you.
Matt Flake: And I'll use the word easier and I don’t mean that the financial institution was, but just us being public for a year the stock has performed well, our balance sheet has stayed at a $100 plus million. It’s easier for any financial institution to say that we're going to sign with Q2 International Bank of Commerce, American Airlines, Trustmark, First Republic has signed with the vendor. So we've just gotten over a lot of those hurdles and that’s why I think you see the momentum that you're seeing in that space and that’s makes it even easier for Tier-2 because remember we went public because of the transparency and the balance sheet and all of that was the right decision in this translated into growth and there is still a competitor aspect of all of them, but we feel really good about '15 and '16.
Unidentified Analyst: Great. Thank you so much I appreciate it.
Matt Flake: Thanks Michael. I appreciate it.
Operator: Your next question comes from the line of Tom Roderick with Stifel. Your line is open.
Tom Roderick: Thanks for taking my question. I am afraid I was juggling a few calls there at once. I missed a few things I apologize in advance if you've already touched on this. But I wanted to -- my first question here is kind of piggybacking on Michael’s last question just with the idea of the Northeast being an opportunity that you're cracking now from a Tier-1 perspective and I guess the question I would have is from -- what was the catalyst standpoint around that? Was it word of mouth from some other banks that you're able to get in there? Was it more just coincidence or perhaps if you sort of hired any particular new sales reps, sales teams that had great relationships there and you think you can continue to leverage that?
Matt Flake: Thanks Tom. I think it's all of those elements to a degree, which is when you sign an Amcor or you sign a First Republic or you announce an International Bank of Commerce has going live on the system, the banks in the Northeast know who those financial institutions are. We have had success in the Northeast. We just have an Tier-1 success. So that’s why we highlighted on the call. We do have -- we build up the Tier-1 team, which is a different skill set than the Tier-2 and Tier-3 sales rep and I am really proud of the way the sales -- the Tier-1 team has gone out there and executed. They've leveraged some of the success of the Tier 2. So the catalyst is all of those things that kind of I said to Michael plus you now have some logos you can hang up there that are known nationally and you have -- we’ve delivered the product into production, production with some of these customers. So it is that network effect, the momentum and its happening up-market and its happening in Tier 2 and Tier 3.
Tom Roderick: Matt would you mind touching on that -- on that Tier 1 team just a little bit in further detail in particular, can you share with us what the size of that team looks like, or have there been any key notable reason hires and furthermore if you are looking into next year how would you look to staff that business both on the sales and the services side?
Matt Flake: Yes, I'll let Jennifer talk on the sizing of the business. Tom, we don’t announce the names, the numbers for each breakout but I'll tell you that we have -- we’ve went out and intentionally found people in the industry that have worked in the Tier 1 space. And they've been successful with other companies. We were very fortunate to get them and I think they were very excited about coming to a company that has had a chance to start over. We did a lot of heavy lifting with the integrations, the public offering, a lot of those things that they went through and they were able to walk over here with the new technology platform and we got six million users on the system. We’ve a balance sheet of $120 million around that right now and we provide a customer experience that it appears others can’t do. So we got them from competitors. We know them from the industry. I've been in sales for a long time, so I knew the people. I have the highest regard for the team we have and we’re going to be adding some more in the coming months and years to manage the success we’re having in. Jennifer you can comment on that.
Jennifer Harris: Yes, I would just say on the sales organization, remember that we really started building out that Tier 1 organization at the end of '14 and continued that through 2015. So while the pace made slower the hiring within our Tier 1 organization like Matt said, we’re experiencing momentum across all Tiers and so I expect to continue to invest in the sales organization as a whole in others to support our commitment to our topline growth.
Tom Roderick: Great and just follow-up on the financial impact from the three Tier 1 wins all at once. You guys have added some pretty nice customers this year and still march the gross margin higher pretty steadily. I guess the question I would have around these deals is was built A included in all of them and how should we think about the quarterly trajectory, over the span of implementation let's call it the next two, three quarters, on the gross margin from the way this could impact the model.
Jennifer Harris: So none of the 2014 as we talked about included Bill Pay, I do think and I'll need to go back and confirm. I know one and I think two of the deals that we signed year to date in 2015 include Bill Pay. So it’s not quite as clean as it was last year. But I do expect as we continue to bring these Tier 1s online at the higher margin and with a relatively different mix of Bill Pay from our Tier 2 and Tier3 you're going to see it continue to decline. In this quarter 19% of our revenue was transactional. That’s down from 20% last quarter and 22% in the year ago period. So it’s not going to go away completely because it's still there in the majority of our Tier 2 and Tier 3 and a handful of Tier 1. But as revenue continues to grow and we continue to introduce additional products I think you are will continue to see that mix go down slightly.
Tom Roderick: Excellent. Appreciate the detail. I will jump back in the queue. Thanks guys.
Matt Flake: Thanks Tom. Appreciate it
Operator: Your next question comes from the line of Richard Davis with Canaccord. Your line is open
Richard Davis: Great, thanks, I am happy to see you guys landing deals in the Northeast it's good to have wins in the region of the country with an undefeated World Championship NFL football team. So one of the questions I get periodically and I figured that out, are you seeing any stress in your customers in the oil patch?
Matt Flake: We’ve -- we just haven’t seen it. We have -- I think we've didn’t give the numbers on the revenue projections, but we continue to have success in Texas in all the Tiers and there is not a lot of banking in South Dakota and those areas. So we just haven’t seen it and we don’t -- we’re not anticipating it either.
Jennifer Harris: Yes I would just say that the revenue from Texas banks in 2014 was less than 15% of our total and that was down from the prior year. So even when you add some of those other states that do the fracking like North Dakota etcetera, it's still less than 20% of our total revenue.
Richard Davis: Got it. I realize you have a ton of opportunity in the United States. I also got a question for someone who said would your software work in Canada. I guess I only have gigantic banks, but can you take this international, whether it's Canada or Europe or is that just like so far led not really relevant at this point?
Matt Flake: No, I think we have contemplated when we build the software how would it work internationally in a different spot, but right now less than 3% penetrating the market place it clearly articulated a story at 30% plus growth for the forcible future. We've got a lot of market here that we can capitalize on that we know really well, that we think we can continue to win and so we're going to do that, but down the road there is no reason we couldn’t go to some international markets for the platform.
Richard Davis: Got it. Well thank you very much. I’ll hop back in the queue. Appreciate it.
Matt Flake: Thank you. Appreciate it.
Operator: [Operator Instructions] Your next question comes from the line of Terry Tilman with Raymond James. Your line is open.
Terry Tilman: Hey, good afternoon, can you all hear me.
Matt Flake: We got you.
Terry Tilman: Well after my questions I will probably have to jump back in the queue, but I just have another earnings calls but maybe if I could get a couple of these out. In the first one I am sorry if this has already been asked by a fellow analyst, but Matt when you said foreseeable future, did you define that. Is that one-year, two years, five years, two and half years able to put some parameters on that? The reason why I ask as you're having continued success year-to-date with these Tier-1 and plus some of the big Tier-1 at least that one big Tier-1 went earlier in the year it seems like the visibility is building into at least a couple of years out. Some I am curious did you define foreseeable?
Matt Flake: No we didn’t, that’s why we used a vague word like foreseeable, but from the foreseeable future I think when we went out in 2014, March of ’14, we gave a model that laid out for the next five years and in that five years it contemplated 30% plus growth. Our revenue model with long term contracts, low churn, creates a highly predictable revenue stream and so that’s why we're confident when we say 30% plus growth for the foreseeable future. So leaving up to the words we add at the IPO that would mean that there is about 3.5 years left of 30% plus growth in the nebulous foreseeable future.
Terry Tilman: Okay, because I was trying to like flush out guidance for FY'17 and '18 so I gave it a good try.
Matt Flake: Give it a run, give it a run.
Terry Tilman: Well the other question just relates more of a high level question nothing related to guidance sort of an easier one. But you guys are having success and I would say probably faster success and more broad success in Tier-1 than I was expecting at this point, which is great. But does it do anything in terms of the product roadmap or the requirements. Do they start to defer more in terms of maybe where you need to take your products or other board product demand areas where the Tier-1 versus the Tier-2. So it’s kind of like an R&D question as it relates to more Tier-1 exposure. Thanks.
Matt Flake: Yes, the Tier-1 whether its treasury, retail function, wealth management they do push the organization and the beauty of the model is that the rest of the financial institutions get a piece of that technology because we do have a single platform that people are able to leverage. So they do ask for more, but we also try to work closer with them to make sure that it fits into our model. We're not a professional services shop. There is not a single customer that represents more than 3% of our revenue and our top-10 aren’t even 20% of our revenue. So we try to stay within those balance but they do push but we like that because that technology flows to our platform and then helps us become more competitive in a way it’s funded. So it's part of the deal when you go up market.
Terry Tilman: Thanks, nice job.
Matt Flake: Thanks Terry.
Jennifer Harris: Thanks Terry.
Operator: Your next question comes from the line of Shane Svenpladsen with Avondale Partners. Your line is open
Shane Svenpladsen: Just a quick one on your treasury product suite, could you just comment on the uptake you're seeing there and is the demand primarily amongst one your institutions are you're also seeing some interest from Tier-2 and Tier-3?
Matt Flake: Yes thanks Shane. The treasury product has been very well received. As we've said all long it’s a living breathing thing that’s going to take multiple years and it’s kind of be ongoing. So we're seeing it probably 10 to 20 existing customers are in line to get it. But you’re seeing it on the Tier 1, Tier 2, Tier 3 from a net new perspective a lot of the -- its moving the needle on a lot of the net new deals whether being they're including it and winding down. So I’m really excited about it and I think the ability to offer that type of functionality to a Tier 3 or a Tier 2 financial institution or even a Tier 1 on the same platform where they can remove that system that's out there, you don’t have to support another system. It’s just part of our value prop. So it’s an awesome opportunity for us going forward and we’re going to continue to invest and built on it.
Shane Svenpladsen: Thanks appreciate it. I'll get back in the queue.
Matt Flake: Thanks Shane.
Jennifer Harris: Thanks Shane.
Operator: There are no further questions in queue I would like to thank everyone their participation in today’s call. This does conclude the call for today.